Operator: Good afternoon, everyone. Welcome to the Stryve Foods Second Quarter Fiscal 2024 Financial Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, August 14, 2024. Now I would like to turn the call over to Will Pugh, Senior Vice President of Accounting at Stryve Foods, to make introductions and read the safe harbor statement. Please go ahead.
Luke Weil: Thank you, operator, and welcome to the Stryve Foods Fiscal year 2024 second quarter earnings conference call. With me today are Stryve’s Chief Executive Officer Chris Boever and Chief Financial Officer Alex Hawkins. Before we begin, I would like to remind everyone that part of our discussion today will include forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements, by their nature are uncertain and outside of the company's control. Actual results could differ materially from these expectations. These statements are not guarantees of future performance and therefore undue reliance should not be placed upon them. We do not undertake to update these forward-looking statements at a later date and they only refer to today. In addition, today's call will include a discussion of non-GAAP financial measures, including adjusted EBITDA and adjusted EPS. Non-GAAP financial measures should be considered as a supplement to and not a substitute for GAAP financial measures. We refer you to the reconciliation of non-GAAP to the nearest GAAP measure included in today's earnings press release for further detail. This call is being webcast and can be accessed through the audio link on the News and Events page of the Investors section at ir.stryve.com. Also, the earnings press release is posted on our website, and a copy of the release has been included in the Form 8-K submitted to the SEC. With that, I would now like to turn the call over to Chris Boever. Chris?
Christopher Boever: Thanks, Will and good afternoon, everyone. Thank you for joining us today. The second quarter of 2024 marks another significant step forward in Stryve Foods ongoing transformation. This quarter, we have once again demonstrated the impact of our strategic initiatives, which have been driving substantial year-over-year improvements in our financial and operational performance. But perhaps more importantly, when we look back to the second quarter of 2022 before the transformation began, the progress we've made is truly remarkable and it underscores the effectiveness of the strategy. Let's begin with the numbers. This quarter, our gross margin expanded to 27.4% up from 17.5% in Q2 of 2023, an astonishing turnaround from the negative 40.4% gross margin we reported in Q2 of 2022. This represents not just an important improvement in our profitability, but a complete transformation in how we manage our business, from procurement to production to pricing. This kind of margin expansion over just two years is a clear indication that our efforts, the streamline operations, optimize our product mix and enhance our pricing strategies, are working effectively. Operating expenses in Q2 of 2024 were down by 11% compared to the same period last year, reflecting our ongoing commitment to cost discipline. When you compare this to Q2 of 2022, the reduction is even more profound. Our operating expenses have been reduced by 66%. This reduction has been achieved through a combination of strategic headcount management, renegotiation of supplier contracts and the rigorous implementation of our MVP program, maximizing value through productivity, which has driven efficiency improvements across all areas of our business. Adjusted EBITDA improved by 35% year-over-year, but what is perhaps even more impressive is the nearly 90% reduction and our adjusted EBITDA loss since Q2 of 2022. Back then, we were operating a very different landscape, facing significant operational inefficiencies, a less focused product portfolio and higher fixed costs. Today, thanks to our comprehensive transformation strategy, we are operating with far greater agility and financial prudence. We streamlined our product offerings, refined our go to market strategy and significantly lowered our cost base, all of which have contributed to the substantial improvement in EBITDA. These financial improvements are not just numbers. They tell a story of resilience, strategic foresight and a relentless focus on execution. They reflect the real, tangible progress we've made in transforming Stryve into a leaner, more efficient company with a clear path to profitability. We say what we're going to do and we do what we're going to say. One of the most encouraging aspects of our progress this quarter has been the continued outperformance in retail consumption and velocity metrics. These gains have been driven largely by the success of our new packaging and branding initiatives, which we launched late last year. As of now, we estimate that about three four of our products have transitioned to the new packaging on retail shelves. The consumer response has been overwhelmingly positive, with significant improvements in shelf presence and customer engagement. This transition is not just about aesthetics, it's about communicating the premium quality of our products in a simplified manner, standing out in a crowded category. Our velocity improvements reflect the growing consumer preference for our brand, particularly as they begin to recognize and trust the Stryve Vacadillos and Kalahari brands as synonymous with quality and health. The improvements in our product quality, driven by enhanced manufacturing processes have also played a critical role in this success. Over the past two years, we have been laser focused on our production facilities, upgrading equipment, refining processes, and implementing stringent quality control measures. These efforts have paid off as evidenced by the positive feedback we receive from both consumers and retail partners. The improved and consistent quality of our products is better enabling us to attract and retain new and existing consumers. Our MVP program has been instrumental in driving operational efficiency across our workforce. This program is more than just a cost cutting exercise. It's about fostering a culture of continuous improvement and accountability at every level of the organization. Through MVP, we have been able to optimize resource allocation, reduce waste and improve productivity, all of which have contributed to our enhanced financial performance. This program is a cornerstone of our strategy to build a more resilient and scalable business. Looking forward, we are equally excited about the growth opportunities that lie ahead. We are making great strides with our air-dried pet treat strategy, which not only offers significant growth potential, but also allows us to maximize the use of our raw materials. This initiative aligns perfectly with our commitment to sustainability and innovation. By utilizing all raw materials, we are not only reducing waste, but also tapping into a lucrative and growing market for premium human-grade pet treats. We have seen strong demand for both branded and contract packing customers and we believe this segment has the potential to become an increasingly important part of our business. Additionally, we recently earned both Kocher and halal certifications which open up new market opportunities for us. These certifications are significant because they allow us to tap into underserved markets where demand for high quality certified products is strong but supply is limited. We plan to enter into these markets primarily through contract manufacturing, which will enable us to leverage our existing production capabilities. We are also excited to announce the strategic consolidation and redesign of our owned websites. This initiative, which is set to launch externally in Q4 of 2024, will allow us to benefit from cross brand selling opportunities, a streamlined checkout experience, better conversion and an overall improvement to our shopper’s experience. Our goal is to make it as easy as possible for consumers to find, purchase and enjoy our product online and we believe this redesign will significantly step forward Stryve Foods in achieving that. Furthermore, our grass-fed beef product lineup under Stryve and Kalahari brands is gaining momentum. With new branding and packaging, we are offering retailers and consumers an opportunity to enjoy our high-quality brand in the growing grass-fed segment of meat snacks. We are confident that this segment will continue to grow and believe it could contribute meaningfully to our overall sales. One final point I'd like to touch on in relation to our growing consumer demand. As I have shared, a rapid increase in velocity at retail has been a positive surprise. While we outperformed our planned expectation, it led to some challenges in keeping up with demand and resulted in some out of stocks at various retailers and online platforms. While it's never ideal to face supply challenge, it's a positive sign that our demand for our product exceeded both our own and our retailers’ expectations. This demand driven shortfall was not due to capacity or structural limitations, but rather financial constraints which we are actively addressing, including through the convertible promissory notes we secured this past quarter. Importantly, this situation has highlighted the strong consumer demand for our products and reinforces our confidence in our growth strategy. In summary, Q2 2024 has been a quarter of strong progress marked by significant financial and operational improvements, continued success in our core business, and exciting new growth opportunities that we've just outlined. I believe we are well positioned to continue this momentum as we move forward. With that, I'll turn it over to our CFO Alex Hawkins to provide a detailed overview of the financial results. Alex?
Alex Hawkins: Thanks Chris. Good afternoon, everyone. I'm pleased to walk you through our financial results for the second quarter of 2024, which reflects both the ongoing strength of our business transformation and the disciplined execution of our strategic priorities. Starting with the top line, our net sales for the second quarter were $6.2 million, representing a 3% increase compared to $6 million in the second quarter of 2023. While the year-over-year growth might seem modest, it's important to view these results in the context of our strategic decision to rationalize certain low margin products and discontinue some underperforming retail programs that were still supporting last year's numbers. This disciplined approach has allowed us to focus on higher quality revenue streams and improve the overall profitability of our sales mix. We believe that we saw the trough of these rationalization efforts in Q4 of last year, and since then we have shown considerable sequential growth each quarter, with Q1 of this year up 59.2% versus Q4 of '23, and in this most recent quarter, Q2 up 34.4% versus the first quarter of this year sequentially. These periods of consecutive outsized sequential growth are evidence that we've entered into the next phase of our transformation, driving sustainable quality growth. Our gross profit for the second quarter came in at $1.7 million, up significantly from $1.1 million in the same period last year. This improvement is primarily attributable to our enhanced sales mixed better absorption of fixed costs due to higher production volume and more efficient production processes, as well as our ongoing efforts to optimize our price mix. The resulting gross margin of 27.4% is a substantial improvement from 17.5% in Q2 of last year, marking a full 10% point expansion. And that improvement, by the way, was achieved despite the fact that we faced considerably higher input costs this quarter than we did in the prior year period. This is a clear indicator that our efforts to drive operational efficiencies, improve our costing and focus on improved mix are yielding positive results. Turning to operating expenses, we continued our disciplined approach to cost management with reducing our total operating expenses by 11.3% year-over-year to $3.9 million in the second quarter of 2024, down from $4.4 million in the prior year period. This reduction reflects the ongoing benefits of our MVP program that Chris mentioned, which has been instrumental in streamlining our operations and enhancing productivity across the board. When we compare this same quarter in 2022, when our operating expenses were over $11.5 million dollars for the quarter, the scale of our transformation becomes even more apparent. This substantial reduction in operating expenses has been achieved without compromising our long-term growth initiatives or the quality of our products, demonstrating the effectiveness of our cost control measures. As a result of these efforts, our operating loss for the quarter narrowed to $2.2 million compared to an operating loss of $3.4 million in the same period last year. This represents a significant 33.8% improvement year-over-year. Even more striking is the comparison to Q2 of 2022, when our operating loss stood at $15.6 million. The progress we've made over the past two years is a testament to the strength of our strategy and to the dedication of our team. Moving on to adjusted EBITDA, which we view as a key indicator of our underlying business performance. We reported an adjusted EBITDA loss of $1.5 million for the second quarter of 2024. This is a 34.8% improvement from the adjusted EBITDA loss of $2.4 million in Q2 2023 and a dramatic improvement from the $11.4 million loss in Q2 of 2022. The nearly $40 million run rate improvement in adjusted EBITDA loss over the past two years highlights the significant strides we've made in driving operational efficiencies, optimizing our cost structure and positioning this business for future profitability. Our net loss for the quarter was $3 million, or $0.91 per share, compared to a net loss of $4.3 million, or $2.05 per share in Q2 2023. This improvement reflects not only our higher gross profit and lower operating expenses, but also a reduction in interest expenses and other financial costs. It's also worth noting that our adjusted loss per share for the quarter was $0.83, which compares favorably to the adjusted loss per share of $1.84 in the prior year period. This reflects our ongoing commitment to improving shareholder value as we work towards sustainable profitability. On the balance sheet we ended the quarter with half a million dollars in cash, reflecting our careful management of cash during this liquidity constrained phase of our transformation. Our line of credit and the recent closing of $3 million in convertible promissory notes, including approximately $1.7 million from insider and related party participants, have supported our operations and allowed us to fund some of the working capital required by our performance. However, as Chris mentioned, we believe that we left dollars on the table in the second quarter as the demand for our products considerably exceeded our ability to fund that pace of growth. This working capital shortfall, driven in part by the significant outperformance of our products at retail, is a solvable problem that we are working on in real time and hope to share updates soon. For the time being, however, our liquidity position remains tight. We are actively managing our resources to ensure that we can continue to execute on our strategy effectively and expand upon the progress we have already made. Looking ahead, we are issuing updated guidance for fiscal year 2024 as follows. We expect net sales to be in the range of $23 million to $26 million for the full year, representing growth of 30% to 47% year-over-year. This guidance reflects our confidence in the continued momentum of our business, supported by the full rollout of our new packaging, anticipated continued strength in retail velocities and the strategic execution of our capital plans. We believe that these factors, coupled with our ongoing focus on cost control and operational efficiency, will drive significant improvements in our financial performance as the year progresses. In conclusion, our second quarter results demonstrate the strength of our transformation strategy and our ability to execute against our goals. We are encouraged by the progress we've made and remain confident in our ability to deliver value to our shareholders through disciplined financial management and strategic growth initiatives. With that, I'll turn it back to Chris to share more about our strategic vision and the exciting opportunities ahead for Stryve Foods. Chris?
Christopher Boever: Thank you, Alex. As we reflect on our second quarter performance, it's clear that Stryve Foods has delivered on the necessary foundational improvements of our transformation. The progress we have made over the past two years is a testament to the effectiveness of our strategy and the commitment of the team. We've significantly reduced our losses, enhanced the quality and appeal of our products and laid a strong foundation for future growth. Our transformation journey has been marked by a series of strategic decisions that have fundamentally reshaped our business. We rationalized our product portfolio to focus on higher margin, higher quality revenue streams, optimize our operations to drive efficiency and invested in our brands to ensure they resonate with today's health-conscious consumers. These efforts have positioned us as a leader in the air-dried meat snack category and we are now entering the growth phase of our strategic plan. We are focused on growing the core of our streamlined and repositioned portfolio. We are participating in a very attractive category at the intersection of protein and convenience, with highly differentiated product benefits such as 50% more protein than beef jerky, no to low sugar and zero preservatives. Simply put, we give the consumer more of what they want and less of what they do not want. In addition, we are now adding more with new product initiatives such as the air-dried pet treat strategy and the expansion into Kocher and Halal markets which offer significant growth potential. These initiatives not only diversify our revenue stream, but also leverage our existing strengths and production and innovation. The upcoming consolidation and redesign of our own websites is another important step of our growth strategy. This initiative will allow us to better serve our customers online, enhance their shopping experience and ultimately drive higher conversions and sales. We are committed to ensuring that Stryve online presence is as strong and engaging as our retail presence. Furthermore, our continued focus on premium products such as our grass-fed beef lineup under the Stryve and Kalahari brands aligns perfectly with the growing consumer demand for healthier, more sustainable snacking options. We believe that our differentiated product offerings, combined with our strengthening brand equity will enable us to capture a larger share of this expanding market. In conclusion, our brands are well positioned for continued success. We have the right strategy, the right product and the right team to drive our business forward. We are focused on executing our plan, solidifying our foundation and expanding our market presence, delivering for our valuable shareholders. Thank you for your continued support and conference in Stryve Foods. Thank you to the Stryve squad. Thank you to all of our third-party vendor suppliers. We are very excited about the future and we look forward to sharing our progress with you in the quarters to come. With that, I'd like to turn it over to the Operator for Q&A. Operator?
Operator: Thank you, ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the light of Mike Grondahl from Northland Security. Please go ahead.
Mike Grondahl: Hey guys. My first question is just, hey, the guidance range, the lower the upper band came down a ways. What changed or what would you attribute that to?
Alex Hawkins: Hey Mike, this is Alex. A big part of that comes to the comments we made around the financial constraints, our ability to deliver on some of the sales and some of the out of stocks that resulted due to some of those constraints and the outperformance at retail consumption. Those end up being lost sales on the year. You can't get them back, unfortunately, all we can do is make sure we are servicing to the best of our ability moving forward. Again, it's not, these challenges were not due to a failure on the supply chain or our ability structurally to produce the product. It really came down to the packaging itself was outperforming our expectations and our ability to fund the working capital growth to support it. And so, we're having to solve that and it is a solvable problem and we're working through that we hope to have some updates to share soon, but that's the primary driver of it is the working capital constraints that we've had.
Mike Grondahl: Alex, how do you solve that? Can you kind of walk us through a couple options or how you envision maybe, I mean, is that some financing, some more notes or.
Alex Hawkins: We've proven that we can get creative in how we finance the business over the last few years and we're continuing to do that. We funded some through these convertible promissory notes over the last few months. We'll continue to look at options like that and other ways to bring in capital to support the business. It's no secret that, you know, in the position that we're in, we're still somewhat relying on external capital to support the business, particularly if we're looking to grow the business substantially, which is what we aim to do, and that's how we'll likely solve the problems here.
Christopher Boever: Yeah, and I would just add, I would just add Mike, this is Chris. You look at the stark improvement in our profitability of a 90% improvement over two years. Our burn rate is evaporating right before our eyes. We're closing and narrowing that gap to delivering a profitable business and, you know, just a little bit of support and getting a little bit more growth, we are very, very close to delivering against that next key, you know, inflection point that we are all focused and driving very aggressively towards. We will figure that other part out, and we're very optimistic about our plans and our ability to deliver across all different spectrums.
Mike Grondahl: Sure. Yeah, you guys have fixed a ton. There's no doubt. And it's almost like the last piece we're waiting for is just this inflection in sales, and it's come up nicely off the bottom. And now it just looks like we're in the $6 million range for a couple of quarters. But to help sales inflect, what is kind of the range of funds that you need? Like, is there, like, hey, if you could raise a little bit, you can get a little inflection. How should we think about that relationship?
Alex Hawkins: I don't know that we're providing specific guidance on that right now, but what I can share with you is by virtue of how we designed the P&L and how close we are to reaching our goals of profitability. The amount of capital we need, whether we're going to grow substantially soon, or whether it's going to be a protracted growth phase, which is not what we expect, it doesn't change very much. The longer we don't see growth, the more protracted the burn period is. And that's where the cash would be going. But in our case, we expect the growth to be coming over the next several quarters, which is more of a working capital investment and less of a burn. Right. Until you get to an inflection point. It's not a lot of dollars, though. In the big picture, it's not a lot of dollars. We're working actively to solve it. We're very confident we'll have news to be able to share in the very near future. From the execution of our expectations, we are very optimistic. I've never been more excited and bullish about the outlook and future of Stryve Foods than I am today. We're also finding new streams, as I discussed on the call, some of it requires little to no cash up front. It's leveraging some of our capabilities that we already have within our facility that does not impact our capacity. Utilizing other different components that we've had from early on days to maximize, you know, and economize. And I take advantage of some of those assets that we have within our facility. So, we're real close to inking some deals and some arrangements there. In some of those spaces and very optimistic as to how that's going to impact cash conversion cycle and cash utilization on top of everything else.
Mike Grondahl: Got it. Got it. And the pet food stuff, is that something you'd expect to break out over the next couple of quarters? Is that at 10% of revenue, how is that doing? It sounds pretty interesting.
ChristopherBoever: Yeah, we've got very little actually put into our outlook for our sales. We've been extremely conservative in that. Last year, we launched a one item lineup under a brand called Tuchels. We will be announcing the launch and the actual brand name in the next month or so as we bring it to retail with a multi-SKU lineup and a new brand under our umbrella. We hope to be announcing a co-man arrangement in that space as well that quite frankly, has been growing like leaps and bounds online, direct-to-consumer, many different types of avenues, but air-dried pet is certainly on the rise, and we can help out with that consumer demand with some of our capabilities to fulfill for others that are in need of service and supply. We are actively looking to create new revenue streams that are not really contemplated too much in our outlook and create a lot of upsides. We've been pretty prudent in conservative in some of our calls and a business that's just lowly penetrated newish, if you will, with a lot of upsides. This could turn a lot faster. We're very optimistic. We do need some of the cash to help us get there. As we balance all the priorities as well as opportunities, we're trying to be as prudent as we possibly can and transparent with you.
Mike Grondahl: Hey, fair enough. Thanks guys.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I will now hand the call back to Mr. Chris Boever for any closing remarks.
Christopher Boever : Thank you, operator, and thank you for your questions and your insights today. As we close out this call, I want to reiterate our commitment to the transformation and growth of Stryve Foods. The progress we've discussed today is just the beginning of what we believe will be a long-term trajectory of success. Our team is energized, committed, our strategy is sound and are focused on delivering high-quality, differentiated products loaded with protein to our consumers remains unwavering. We are excited about the opportunities ahead and confident in our ability to continue to drive value for our shareholders, partners and customers. We appreciate your continued support and your belief in Stryve Foods. We look forward to updating you on our progress in the coming quarters. Thank you for joining us today. Eat steak, don't be a jerky. Have a great evening.
Operator: Thank you. This concludes today's call. Thank you for participating. You may all disconnect.